Operator: Good morning, and welcome to the PennantPark Investment Corporation's Third Fiscal Quarter 2018 Earnings Conference Call. Today's conference is being recorded. At this time, all participants have been placed in a listen-only mode. The call will be opened for a question-and-answer session following the speakers' remarks. [Operator Instructions] It is now my pleasure to turn the call over to Mr. Art Penn, Chairman and Chief Executive Officer of PennantPark Investment Corporation. Mr. Penn, you may begin your conference.
Arthur Penn: Thank you, and good morning, everyone. I'd like to welcome you to PennantPark Investment Corporation's third fiscal quarter 2018 earnings conference call. I'm joined today by Aviv Efrat, our Chief Financial Officer. Aviv, please start off by disclosing some general conference call information and include a discussion about forward-looking statements.
Aviv Efrat: Thank you, Art. I'd like to remind everyone that today's call is being recorded. Please note that this call is a property of PennantPark Investment Corporation and that any unauthorized broadcast of this call in any form is strictly prohibited. Audio replay of the call will be available by using telephone numbers and pin provided in our earnings press release as well as on our website. I'd also like to call your attention to the customary Safe Harbor disclosure in our press release regarding forward-looking information. Today's conference call may also include forward-looking statements and the projections, and we ask that you refer to our most recent filings with the SEC for important factors that could cause actual results to differ materially from these projections. We do not undertake to update our forward-looking statements unless required by law. To obtain copies of our latest SEC filings, please visit our website at www.pennantpark.com, or call us at 212-905-1000. At this time, I'd like to turn the call back to our Chairman and Chief Executive Officer, Art Penn.
Arthur Penn: Thanks, Aviv. I'm going to provide an update on the business starting with financial highlights, followed by discussion of the overall market, the portfolio, investment activity, the financials, and then open it up for Q&A. For the quarter ended June 30, 2018, we invested $188 million in primarily first and second lien secured debt at an average yield of 10.5%. Net investment income was $0.17 per share. Our recurring run rate income is now $0.18 per share, excluding other income, which we received for items such as prepayment penalties. We purchased $7.8 million of our common stock at an average price of $7.25 per share as part of a $30 million stock repurchase program, which was authorized by our Board last quarter. The stock buyback program is accretive to both NAV and income per share. We are looking forward to continuing this program over the coming quarters. As of September 30, we had taxable spillover of $0.26 per share, which provides further dividend cushion. With a generally stable underlying portfolio and substantial spillover, we believe that PNNT stock should be able to provide investors with an attractive dividend stream, along with potential upside as our equity investments mature. Our primary business of financing middle-market sponsors has remained robust. We manage relationships with about 400 private equity sponsors across the country from our offices in New York, Los Angeles, Chicago, Houston and London. We have done business with about 180 sponsors. Due to the wide funnel of deal flow that we receive, relative to the size of our vehicles, we can be extremely selective with our investments. In this environment, we have not only been extremely selective, but we have generally moved up capital structure to more secured investments. Reminder about our long-term track record, PNNT was in business since 2007, then as now focused on financing middle-market financial sponsors. Our performance through the global financial crisis and recession was solid. Prior to the onset of the global financial crisis in September 2008, we initiated investments, which ultimately aggregated $480 million. Average EBITDA of that underlying portfolio was down about 7% to the bottom of the recession. According to the Bloomberg North American High Yield Index, the average high yield company EBITDA was down about 40% during that timeframe. As a result, we had few defaults and attractive recoveries on that portfolio. The IRR of those underlying investments was 8%, even though they were done prior to the financial crisis and recession. We are proud of this downside case track record. We've had only 12 companies going non-accrual out of 204 investments since inception over 11 years ago. Further, we are proud that even when we had those non-accruals we've been able to preserve capital for our shareholders, through hard work, patients, judicious additional investments in capital and personnel in those companies, we've been able to find ways to add value. Based on the values as of June 30, today we have recovered about 80% of capital invested on the 12 companies that have been on non-accrual since inception of the firm. We currently have no investments on non-accrual. Since inception, PNNT has made 204 investments, totalling about $4.9 billion, at an average yield of 12.4%. This compares to an annualized loss ratio, including both realized and unrealized losses of about 30 basis points annually. We are proud of this track record, which includes both our energy investments, as well as our primarily subordinated debt investments made prior to the financial crisis. In this environment, due to our deep and broad investment team, we're seeing more deals than ever. We're using our proven underwriting discipline in middle-market sponsor deals. We are generally high in the capital stack and have substantial junior capital beneath us to provide cushion. As a result, we believe that we can continue to provide attractive risk-adjusted returns for our shareholders. At this point in time, our underlying portfolio indicates a strong U.S. economy and no signs of recession. We remain focused on long-term value in making investments that will perform well over an extended period of time and can withstand different business cycles. Our focus continues to be on companies and structures that are more defensive, have a low leverage, strong covenants and are positioned to weather different economic scenarios. We are a first call for middle-market financial sponsors, management teams and intermediaries, who want consistent credible capital. As an independent provider of, free of conflicts or affiliations, we've become a trusted financing partner for our clients. Our portfolio is constructed to withstand market and economic volatility. In general, our overall portfolio is performing well. We have a cash interest coverage ratio of 2.6 times and a debt to EBITDA ratio of 5.1 times at cost on our cash flow loans. With asset yields coming down over the last several years, we're looking to create attractive risk-adjusted returns. We're executing a three-point plan to do so. Number one, we are focused on lower risk, primarily secured investments, thereby reducing the volatility on our earnings stream. Investments secured by either a first or second lien are about 81% of the portfolio. We are also focused on reducing risk from the standpoint of diversification. So number two, as our portfolio rotates, we intend to have a more diversified portfolio with generally modest bite sizes, relative to our overall capital. And number three, we look forward to continuing to monetize the equity portion of our portfolio. Over time, we're targeting equity being between 5% to 10% of our overall portfolio. As of June 30, it was 16% of the portfolio. As you all know, the Small Business Credit Availability Act was signed into law on late March. At the current time, we're not going to increase leverage at PNNT. Our intention is to maintain our investment-grade ratings or bonds through their maturity in October 2019. As we get closer to October 2019, we will assess the investment at financing landscape and evaluate our strategy with the goal of maximize long-term value for our stakeholders. We remain comfortable with our target regulatory debt-to-equity ratio of 0.6 times to 0.8 times. We're currently at about 0.5 times regulatory debt-to-equity. On an overall basis, we are targeting GAAP leverage of 0.8 times. As of June 30, we were at about 0.73 times overall GAAP leverage, and our net leverage debt minus cash was 0.56 times. In addition to being active on new investments, we had significant cash realizations in the quarter ended June 30. Most significant realization was our investment in Pre-Paid Legal, we realized in IRR of 11.2% on our $62 million second lien position, and proceeds of $18 million on our $3 million equity co-invest. The equity co-invest was 6.1 times multiple of invested capital and an IRR of 38% of nearly seven years. We also exited our $1.3 million equity co-investment in Roto Holdings with proceeds of approximately $5.6 million, resulting in an IRR of 50% and multiple on invested capital of 4.2 times. This might be a good time to highlight the value of the equity co-invest strategy as part of our portfolio since inception across our platform, we invested $187 million in 58 equity co-investments, where we make a portion of our overall investment side-by-side with financial sponsors and private equity along with the debt we provide. The IRR on that money since inception is 24%, which represents a multiple on invested capital of nearly 2 times. These returns help to offset losses and provide upside to the portfolio. With regard to our energy related portfolio, we are pleased we continue to make progress monetizing those investments on reasonable values. We started 2018 with four investments in energy with the stated goal of monetization over time. We held these investments over the last several years during the energy downturn with the goal of maximizing value over the long run. We believe that we are starting to see the fruits of that strategy. You may remember that last quarter, we exited the first of those names, American Gilsonite, which ended up generating an 8.6% IRR and 1.4 times multiple on invested capital of our whole period of 5.5 years. On July 15, U.S. Well Services announced a merger with MatlinPatterson Acquisition Corporation Acquisition Corporation, which will result in U.S. Well becoming a publically traded company. The proposed merger subject to regulatory in stockholder approval as expected to be completed in the four quarter of calendar 2018. As a result of the proposed merger, our $10 million loan will be refinanced. The equity position we made for $7 million of cost was marked at about $12 million at June 30, approximating the value of the stock in the proposed merger. Based on this valuation, our overall investment in U.S. Well has generated an IRR of 18% and 1.7 times multiple on invested capital. With regard to our two remaining equity names, RAM and ETX they have been aided by the higher oil and gas prices, it will take time for us to maximize our recovery. We are encouraged that the energy markets are rebounding, this enhances the M&A environment in the section and our ability to evaluate strategic options for our remaining equity related companies. In terms of new investments, we have known these particular companies for a while as studied the industries or have a strong relationship with the sponsor. Let's walk through some of the highlights. We lend $32 million of first lien debt to Alphabroder, a leading national distributor of promotional products, Littlejohn & Company is the sponsor. Impact Group provides outsourced sales, marketing and merchandising services to consumer packaged goods company. We've invested $20 million on first lien term loan. The company has owned by CI Capital. We invested $23 million on first lien term loan to Research Horizons, which is marketing - which is a marketing and brand measurement services company, ZS Fund is the sponsor. We approach as a leading national distributor of branded automotive aftermarket custom wheels and performance tires. We made $32 million second lien loan to the company, which is owned by Clearlake Capital. We lend $15 million in the second lien term loan to MBS Holdings or Momentum Telecom. Momentum is a provider of a variety of telecom services for business and public schools, Court Square Capital is the sponsor. Turning to the outlook. We believe that the result of 2018 will be active due to growth in M&A-driven financings, due to our strong sourcing network and client relationships, we're seeing active deal flow. Let me now turn the call over to Aviv, our CFO, to take us through the financial results.
Aviv Efrat: Thank you, Art. For the quarter ended June 30, 2018, net investment income totaled $0.17 per share. We had about $0.02 per share of other income. Looking at some of the expense categories, management fees totaled $6.3 million, general and administrative expenses totaled $1.1 million, and interest expense totaled $5.6 million. During the quarter ended June 30, unrealized loss from investment was $14 million, or $0.20 per share. Unrealized gains on our debt instruments was $2 million or $0.02 per share. We had about $17 million or about $0.25 per share of realized gains. The accretive effect of our share buyback was about $0.03 per share, excess dividends over income was about $0.01 per share. Consequently, NAV per share went from $0.09 per share to $9.09 per share. As a reminder, our entire portfolio, credit facility, and senior notes are mark-to-market by our Board of Directors each quarter using the exit price provided by independent valuation firms, Security and Exchanges or independent broker dealer quotations, when active markets are available under ASC 820 and 825. In case where broker dealer quotes are in active, we use independent valuation firms to value the investments. Our overall debt portfolio has a weighted average yield of 11.4%. On June 30, our portfolio consisted of 51 companies across 25 different industries. Their portfolio was invested in 43% first lien secured debt, 38% in second lien secured debt, 3% in subordinated debt, and 16% in preferred and common equity. 91% of their portfolio has a floating rate. Now let me turn the call back to Art.
Arthur Penn: Thanks, Aviv. To conclude, we want to reiterate our mission. Our goal is to generate attractive risk adjusted returns through income couple with long-term preservation of capital. Everything we do is aligned to that goal. We try to find less risky middle-market companies that have high free cash flow conversion. We capture that free cash flow primarily in debt instruments and we pay out those contractual cash flows in the form of dividends to our shareholders. In closing, I'd like to thank our extremely talented team of professionals for their commitment and dedication. Thank you all for your time today and for your continued investment and confidence in us. That concludes our remarks. At this time, I would like to open up the call to questions.
Operator: Thank you. [Operator Instructions] And we'll take our first question from Casey Alexander with Compass Point.
Casey Alexander: I'm sure this quarter feels good. Feels like you're turning the corner. May I ask you a question, Art? You've got probably capacity to make an additional $50 million or so of investments just out of cash without negatively affecting your leverage ratio, and bringing that effective leverage ratio kind of up closer to where your actual leverage ratio is right now. So how does the funnel look and how do you feel about what's in the funnel and maybe the pace of deployments versus repayments which I know is an edgy subject? But how do you feel about the funnel and how do you feel about deployments over the next couple of quarters?
Arthur Penn: Thanks, Casey. Yes, it does feel like we're making really nice progress on a lot of fronts here. So I'm feeling good about the opportunity. We're also feeling good about the opportunity in the market, particularly as we've invested in our platform and have a terrific group of investment professionals now across the country, not only New York, but LA, Chicago, Houston, London. And we see some really nice deal flow coming in from the middle-market financial sponsors. You're seeing a greater opportunity for us, higher in the capital stack, first lien and stretch senior, and some nice second liens from time to time. So we feel good about the opportunity to deploy capital to live within the 80% leverage ratio at this point, utilize our enhanced platform, and continue to drive income that covers the dividends. As I said in my remarks, our recovering NII today covers our dividend, and that excludes the other income that we typically get between $0.01 and $0.03 per share per quarter, to enhance that recurring income. So we feel very good about the dividend coverage. Feel good about the economies of portfolio and we're on the mission to monetize the equity investments and energy investments over time hopefully can provide upside. We do have idle cash, some of that is stuck in the SBICs and that's just, we utilize that as SBIC eligible investments come into the platform.
Casey Alexander: Okay. I saw that you - did you pay down any SBI debentures this quarter?
Arthur Penn: We're gradually paying down SBIC I. We're down to $30 million in SBIC I. We'll continue to gradually pay that off. And we're into the SBA with an application for SBIC III. And we're hopeful that at some point we can move forward on that.
Casey Alexander: And could you repeat again how much spillover income you have - on a segment [ph] per share?
Arthur Penn: Yeah, it was in the - $0.26 per share as of September 30. We only disclose once year. It's still right around that number.
Casey Alexander: Okay. And I appreciate your remarks on RAM and ATX. Can you give any feel, just save me time from looking it up? How do they mark against each other quarter to quarter? And do you think that you're going to have to put any more incremental capital into either one of them to help them get across the finish line?
Arthur Penn: Yeah, so they were both marked up a little bit from quarter to quarter. We did provide an incremental revolver to RAM, a $15 million - $15 million size. I think they've drawn $4 million on it. And this is to prove out some acreage that they have, which we think is a good shot of being very productive.
Casey Alexander: All right, great. Well, thank you very much for taking my questions.
Arthur Penn: Thank you.
Operator: And we'll take our next question from Paul Johnson with KBW.
Paul Johnson: Good morning, guys. Thanks for taking my questions. My first question was just you guys had a pretty robust quarter as far as funding goes, but you were just a little bit lighter then on interest income. Was that just kind of due to the timing being a little bit more weighted to the back-end of the quarter?
Arthur Penn: Yeah, yeah, that's exactly right again. It's almost every quarter. For some reason when you're doing - when you're financing these deals everyone [colesses] [ph] around quarter end. And deals have to get done by quarter end. It makes the accounting helpful. It's just - so usually, most - it's I would say for BDCs in general, but certainly for us the new deals comes right around quarter end.
Paul Johnson: Yeah. Thanks for that. And then, I guess on a similar note, as far as repayments go, I think, there are down a little bit as far as kind of the - sort of the level that you running out repayments to start to year out. We've heard from other BDCs that they've kind of seen more normalized level of debt repayments kind of coming in here in the back half of that year, is that sort of what you guys have seen - you've been seeing a more normalized level of repayments?
Arthur Penn: Yeah, and look, it's kind of - it's a good question and it's also link to spread compression, if there is higher spread - there is more spread compression, and likely to see more repayments, if there is less spread compression and no spread compression or there is spread expansion, you're going to see fewer repayments. So we've seen less spread compression, we've seen really no spread compression over the last quarter, quarter-and-a-half, and the repayments have been less as a result. So one of the reasons we've seen healthy growth is due to that.
Paul Johnson: Sure. That makes sense. And my last question was just on your investment in U.S. Well Services. I'm just curious, after that transaction is completed, I think, you said, you expect fourth quarter of this year. Do you expect to be able to exit your equity position shortly after or is there any sort of mandatory lockup period that follows close?
Arthur Penn: It's a good question - that's a good question. So there is 50% lockup for six months and another 50% at 12 months. Look, I think, if you look at the comps, we think U.S. Well even at this price is cheap and as a reasonable start to trade up in generally more NAV upside for our shareholders.
Paul Johnson: Okay. That's great. Those are all my questions. Thanks for taking me this morning.
Arthur Penn: Thank you.
Operator: And we will take a follow-up question from Casey Alexander with Compass Point.
Casey Alexander: No. I must have had a fat finger or something. I don't have any follow-up. Thank you.
Operator: And we will take our next question from Kyle Joseph with Jefferies.
Kyle Joseph: Good morning, guys. Thanks for taking my questions. Just going back to the 3 point plan you laid out factored that in with rising rate, just kind of want to blend all that together and get your outlook for yields over time. Obviously, you have some upside from equity monetization and rising rates, but then also moving up the capital spectrum may offset that. But just kind of your outlook for yields going forward?
Arthur Penn: Yeah, you're right. There are some cross currents. As we move up the capital stack, our overall yield in the portfolio has come down a bit. That said, we're starting to get some offset from LIBOR. And then again rotating our equity and energy investments into cash paying debt securities over time should be a positive. And so, look, we think there is upside you saw this quarter on our run rate, our recurring NII, before our other income is covering our dividend now. And we think it has a reasonable shot continue to grow as LIBOR, it goes up over time, as we rotate those energy in equity investments, and we should provide a very solid comfortable hopefully cushion to our dividend stream.
Kyle Joseph: Got it. And then, I know you mentioned earlier, you're not seeing any signs of recession. But could you give us a sense for sort of revenue and EBITDA growth trends of your portfolio companies and any changes you've seen there in recent quarters?
Arthur Penn: Yeah. Look, I still think our portfolio which between our various vehicles, it's up to about 150 companies. It's a growing economy based on what we can see. Is it between slow growth and a little middle - moderate growth? I'd say it's like moderate growth, which means, I don't know, 5% to 7% EBITDA growth, as a general proposition across the portfolio, some greater, some lowers, but probably a moderate 5% to 7% growth of EBITDA. So we're still seeing a strong economy. We feel good about the underlying portfolio. But we remain vigilant. We remain vigilant. We do underwrite as if a recession is coming. And we do very robust downside cases in our models and as we underwrite credit. As I said, we are one of the middle-market direct lenders that as in business before the global financial crisis and recession. We've got a very nice track record of underwriting credit through that period of time, and that was on a primarily subordinated or mezzanine debt portfolio. So we're using that same underwriting discipline. So we feel - and hopefully, that will be protected if and when the economy softens. But right now, we are seeing a very nice moderately growing economy.
Kyle Joseph: Great. Thanks very much for answering my question.
Operator: [Operator Instructions] We will take our next question from Paul Johnson with KBW.
Paul Johnson: Sorry. I don't have any follow-up questions. I hop back in queue.
Operator: And we'll take our next question form Mickey Schleien with Ladenburg.
Mickey Schleien: Yes, good morning, Art and Aviv. I just wanted to follow-up on the interest income question, I sort of have the same question as a previous caller. If I look at the average debt portfolio at cost, it was down about 3% and yield was pretty stable, but interest income was about 6%. So I understand that you said net investments for skew toward the end of the quarter. But is there some other sort of adjustment or reversal also in the interest income line that we should aware of?
Arthur Penn: No. It's kind of - I think, the combination of kind of probably be backend weighted in the quarter, LIBOR helping in kind of like we said, right now our recurring run rate is $0.18. So Aviv will be happy I'm sure to go through your model with you later if you'd like, Mickey.
Mickey Schleien: Yeah, I might do that. And just a couple of more if I may at a high level. Could you give us the sources of - the main sources of the realized gains and the unrealized losses this quarter?
Arthur Penn: Yeah, so the realized gains, I mentioned in the prepared remarks, which were Legal field, big realized gain there. Roto Holdings, big realized gain there. And then the unrealized losses, they were just kind of nothing big, but small markdowns, and if any, on small markdown in [J&F Holding, small markdown in Superior Digital] [ph]. So that was kind of the highlights and lowlights.
Mickey Schleien: Okay. And lastly on the cash, you had mentioned some of it is in the SBIC. Can you give us an idea of how much that is and also how much cash is being held in relation to the credit facility to hedge foreign investments?
Arthur Penn: So in SBIC II, there is about 50-ish of cash. And the credit facility that we currently have drawn is primarily for our non-U.S. investments. And it's drawn in whether it'd be euro or pound/sterling to hedge those investments. But we have ample credit facility space, as we look at refinancing the bonds at some point. And one option is to just draw down our credit facility and pay down the bonds with our credit facility. So it's nice to have that extra super-liquidity that we have in our system.
Mickey Schleien: Okay. And just lastly, you have a pretty meaningful then, liquidity in the SBIC. How does the pipeline look for SBIC qualified deals and your ability to put that money to work, let's say, over the next few quarters?
Arthur Penn: It's a great question. We're optimistic. But it's in our - lot of these rules and regulations and buckets and baskets that - and the definition of what fits and what industry vertical in regulations, in certain cases makes it challenging to find stuff that fits. But - and again, we're not - we don't do anything different from the standpoint of our underwriting standards. If we like a deal, we like it for the SBICs and where we like it for however we finance it. So it's the same underwriting standards. And our team knows that it's great when we could find stuff that fits. It's been challenging recently, more helpful that we can use the $50-million-or-so of cash in SBIC II and hopefully get a license for SBIC III. And it's been very nice relationship we've had with the SBA.
Mickey Schleien: Okay, terrific. Those are all my questions this morning. I appreciate your time and, I guess, we're talking about half an hour.
Arthur Penn: Right.
Operator: And we'll take our next question from Mark Hughes with SunTrust.
Mark Hughes: Yeah, thank you. Good morning, Art. Good morning, Aviv.
Arthur Penn: Hey, Mark.
Mark Hughes: Last time around, going into the financial crisis, did you have any particular orientation in terms of end-markets or types of businesses that you had focused on at that time that let you weather the crisis better than peers or was it the underwriting process that was more relevant?
Arthur Penn: Yeah, it's a great question. And it's lots of lessons learned. We got in business in April of 2007. And by the summer of 2007, we could tell from our portfolio of companies that the economy was starting to soften. So we said at that point, look, we're going to raise the bar. We're still going to invest. But the deals that we do were going to be in industries that view as recession-resistant that are less cyclical, where we can get good covenant packages, good returns, and where we feel really comfortable. So we did deals between June of 2007 and September of 2008. We had raised the bar. And it's interesting, that vintage of deals that we did before September of 2008 ended up being a really nice vintage even though it was done before the global financial crisis and recession, because we had proactively raised the bar. And that was based on real-time data we were getting from our portfolio of companies. So when we say today, we're seeing those signs of recession. Right now, we're not seeing any signs recession. Of course, we're going to try to find recession-resistant companies and have good covenants and good returns, and underwrite as if a recession is going to come. But we're not seeing signs at this point. And we get monthly financial statements from most of our companies.
Mark Hughes: I appreciate the color. Thank you.
Operator: [Operator Instructions] We'll take our next question from Rick Shane with J.P. Morgan.
Unidentified Analyst: Hey, guys. It's Melissa on for Rick today. I wanted to check in with you on the share repurchase activity. There were some pretty healthy repurchases during the quarter. And it would imply if that's the run rate that you would pretty much fully use the $30 million authorization. Is that consistent with how you're thinking about it?
Arthur Penn: Yeah, we've - thanks, Melissa, good question. And, look, we're thinking - we authorized - the Board authorized $30 million. We're thinking about it like 25% a quarter for four quarters. That's how we think about it. So this was $7 million, $8 million. I mean, that's the game plan. Now, obviously, if there is an opportunity to buy more at lower prices, we may accelerate that. But the thought going into it is about 25% a quarter.
Unidentified Analyst: Right, thanks, Art.
Arthur Penn: Thank you.
Operator: It appears there are no further questions at this time. Mr. Penn, I'd like to turn the conference back to you for any additional or closing remarks.
Arthur Penn: I just want to thank everybody for being on the call today. We're very excited about PennantPark Investment Corporation as hopefully you can tell. We thank you for your time today. Our next conference call will be probably mid-November. A reminder that that's our 10-K, so it takes a little bit longer for us to get our 10-K done, then our 10-Q. So it will be a little later next quarter, but certainly by mid-November. We look forward to speaking with you then. Hope everyone has a great rest of the summer and we'll be talking to you soon. Thank you very much.
Operator: This concludes today's call. Thank you for your participation. You may now disconnect.